Operator: Good morning, everyone, and welcome to Docebo Inc.'s Q4 2025 earnings call. All participants are currently in listen-only mode. We will open up the lines for a question-and-answer session momentarily. I would now like to turn the call over to Docebo Inc.'s Vice President of Investor Relations, Mike McCarthy. Please go ahead, Mike.
Mike McCarthy: Thank you, Julianne. Earlier this morning, Docebo Inc. issued its Q4 2025 results. The press release, which included a link to management's prepared remarks, and our quarterly investor slide deck, were all posted on our Investor Relations website. This morning's call will allow participants to ask questions about our results and the written commentary that management provided this morning. Before we begin this morning's Q&A, Docebo Inc. would like to remind listeners that certain information discussed may be forward-looking in nature. Such forward-looking information reflects the company's current views with respect to future events. Any such information is subject to risks, uncertainties, and assumptions that could cause actual results to differ materially from those projected in the forward-looking statements. For more information on the risks, uncertainties, and assumptions relating to forward-looking statements, please refer to Docebo Inc.'s public filings, which are available on SEDAR and EDGAR. During the call, we will reference certain non-IFRS financial measures. Although we believe these measures provide useful supplemental information about our financial performance, they are not recognized measures and do not have standardized meanings under IFRS. Please see our MD&A for additional information regarding our non-IFRS financial measures, including reconciliations to the nearest IFRS measures. Please note that unless otherwise stated, all references to any financial figures are in U.S. dollars. Now I would like to turn the call over to Docebo Inc.'s CEO, Alessio Artuffo, and our CFO, Brandon Farber. Julianne, can you open up the Q&A queue?
Operator: Certainly. We ask that analysts please limit themselves to two questions and return to the queue for any follow-up. Thank you. Our first question will come from Ryan MacDonald from Needham & Company. Please go ahead. Your line is open.
Ryan MacDonald: Congrats on a nice quarter. Alessio, maybe the first one for you. It was really interesting to read in the prepared remarks about the potential power of integrating Harmony Search with 365 Talents, as it seems like, over time, the search data that you can get from Harmony Search and identifying skill gaps, and then integrating that with 365 Talents, could potentially help close those skill gaps. I think, as the products are integrated, could you talk about where the integration efforts stand on 365 Talents? And do you also see a similar potential integration? And then, as we think about 2026, how close are we to that vision state? Is there a sales training to do that cross-sell motion going into place for this year? Thanks.
Alessio Artuffo: Good morning, Ryan, and thank you for the question. First, let me tell you I am extremely excited to be able to talk about our acquisition of 365 Talents. It has been an important milestone for us. You are correct in saying that the integration between Docebo Inc. and 365 Talents is strategically relevant for us, if not because, among other reasons, it gives us an incremental data moat which, in the agentic era, is a very critical aspect of our strategy. When it comes to the integration, integration is designed to be a phase one. Let me ground it in the current times. We already have customers that we share. We already have an integration that is in production. We are aligned on our ideal customer profile. 365 Talents operated in the strategic enterprise segment, and their customers are very complex organizations with very complex people workflows. So, when it comes to integrating the data of Docebo Inc. and the data flow and the opportunities, there are many. What I would say is, one of the things that I loved about 365 Talents, and one of the reasons that led us to this acquisition, is also their AI-forward technology and thinking. To give you an example, they already have built agents that allow building entire job architectures—a job that would have required months with consultants even a couple of years ago—be done in an instant. Their agentic experience will accelerate our integration between the two platforms. You asked about our roadmap path and what it means for us. So a couple of examples of integrated work that we envision. Number one, imagine this skill architecture that, again, like I said, gets built via agents. This is available now. It is there. Learning programs execution happens within Docebo Inc. But as skill gaps are identified and detected as part of the regular workforce planning, skills are constantly assessed, and skills remediation happens in an integrated way with Docebo Inc. Imagine an agent that is capable of understanding where the workforce stands against certain business goals and the learning machinery, the agent that creates content to continuously produce the material that remediates and to get better. That is the power of the integration between Docebo Inc. and 365 Talents.
Brandon Farber: Ryan, just on the second part of your question of the sales motion and the cross-sell. So, really, on day one, right after the acquisition, we started cross-training our sales staff. Our acquisition thesis remains that there are going to be three motions. We are going to continue to sell 365 Talents on a stand-alone basis. We are going to sell back to our existing customer base and net new customers. We are going to sell a combined Docebo Inc. and 365 Talents suite. We do expect our existing customer base to start attaching on 365 Talents in H2 of this year while we cross-train our staff in H1.
Ryan MacDonald: Super helpful color there. And then, maybe, as we think about taking a step back on AI, clearly you have the product vision and roadmap out there. But, obviously, in the markets over the last several months, there have been plenty of fears and concerns about what AI can do in terms of disruption for broader enterprise software. I am curious if you are seeing any signs of market fears and reactions in the field. What are customers saying about AI and their internal initiatives, and how is that affecting the budgetary environment as you look ahead into 2026?
Alessio Artuffo: The demand environment has been very strong. The field is constantly helping us better qualify how our customers in the L&D, in the learning management world, think about AI within their organization. There is no doubt we live in a transformation phase. But, in terms of the sensibility of our solution, I have done this for now over 20 years. I would say that there are a few things that I am absolutely clear and sure about. The number one thing that I am sure about is that what we have built at Docebo Inc., now combined with 365 Talents and the evolution of what we are doing, is incredibly hard to build and replicate. You just do not cloud code this stuff overnight. That is pure marketing speak for that type of concept. I will add to that. I do spend nights in cloud code. I stopped sleeping because of that. What I would say is when you go beyond the surface of your first 15% to 20% creation of a productive front end, the enterprise piping required to deliver at scale to hundreds of thousands and millions of users—things like unsettled things like database-specific multi-tenancy, role-based permission—all this stuff is what actually powers an enterprise application. I really like to emphasize that because beyond the surface, there is a lot of hard coding piping that folks do not talk about on LinkedIn. Second, I would say, Ryan, what we are hearing from customers reflects our thought and knowledge of the industry, which is that enterprises effectively are evolutionary and not revolutionary, and particularly in L&D. Radical change is slow to come by. Now we are not standing still. We own the data. We own the compliance data, the skills chart data, and no LLM owns any of that. That data becomes then what? The catalyst for those agents to take action. Agents are not magicians. An agent without data is like a Ferrari with no fuel. What we do is make sure that our data structure and data investments are very strong. On top of that, we build the agentic layer so that now we have the data moat, the agentic moat, and the combination of the two with our enterprise experience becomes the proof that we are going to be winners in this market.
Ryan MacDonald: Really helpful color. Thanks again.
Operator: The next question comes from George Sutton from Craig-Hallum. Please go ahead. Your line is open.
George Sutton: Alessio, I wanted to talk about your DNA. So growing 9% in Q4 and guiding for 10% to 11%. My sense is the DNA of this company is built very differently for much more significant growth. So I wondered if you could discuss that—if anything has changed there. And then I wanted to pair that with your substantial issuer bid and your desire to buy a lot of stock down at these levels.
Alessio Artuffo: Love the DNA question. I think your intuition is right in the sense that, over the years, we have continued to operate the company with a few drivers that, when you look at those distinctly, make up what you are seeing reflected in the data. What are those drivers? Number one, staying ahead of the curve in the market in terms of technology advance. That will fuel growth as a result. The investments in AI that we have made, not just now, but over the past few years, are aimed at that. This is not a story of roll-up. This is not a story of building a legacy business. It is a story of continued evolution. Second, disciplined execution. Innovating and building great products and being on the forefront of AI, in our point of view, should not be inconsistent with great financial discipline and focus on profitability. We believe that is something that we have gotten very good at, and we can be even better at. So I do love this nature of a business that has the technology and the fuel to accelerate growth moving forward while adding a rather strong profitability profile. And that is where I would end. Brandon—
Brandon Farber: 2026, if we think about how we reaccelerate, how we beat our guide, we really look at our business previously in three ways and now four ways. Firstly, mid-market. Mid-market had a really strong 2025. We called it out for three quarters in a row. We expect that performance to continue, but that is not a real lever to reaccelerate growth. EMEA, again, had two strong quarters in a row. We do expect that to continue. Enterprise, this is the real lever for us to reaccelerate and beat our guide. To be completely transparent, we were not happy with our performance in 2025. Some of it was macro. Some of it was performance. Our guide does assume that we perform similarly in 2026 to 2025. We are seeing early signs that that business is turning. The demand environment is there. Execution is getting better. Really, Q1, it is time for us to just execute. We have the demand. We have the pipe.
Alessio Artuffo: And now it comes down to execution.
Brandon Farber: The last one—or, sorry, the last two—is government. We are still in the early innings of government. If I could use a hockey reference, the national anthem has not even finished singing. From partnerships to pipeline to RFPs, we are extremely early in this motion. We just became FedRAMP at the May. We are seeing pipeline exceed expectations. We have the pipeline to win some large whale deals in Q3. But when you think about how ARR converts to revenue, our baseline assumption is that ARR comes in September 30, and we really have three months of revenue. So not a significant revenue acceleration for 2026, more 2027. And then March, I would say we already have a fairly aggressive growth target embedded within the guide. So, really, going back, enterprise is the main lever to beat our guide. From an SIB perspective, if you really just take a step back, SIB is designed with all shareholders in mind. It provides every shareholder an equal opportunity to participate. We filed our circular in late January, early February. The view is clear, and it remains unchanged today. We believe the trading price of our shares does not reflect the underlying value of our business and our future prospects. From a mechanics perspective, the SIB is the most efficient path to meaningfully buy back shares. Under NCIB, due to our public float and the amount of shares traded daily, we are actually quite limited. To take out 3,600,000 shares, it would take over two years under NCIB.
Brandon Farber: So, and lastly, I would just note that even after the SIB, even after the acquisition, our net leverage remains low. We still have flexibility to allocate capital.
George Sutton: Wonderful. Great. Just one quick, more narrow question on your QSR win. Understanding that organization is doing this through franchises, I am curious if your deployment will be mandated by the entire system, or is this a hunting license situation?
Brandon Farber: Sorry. Can you repeat that last point?
George Sutton: Is this something mandated by the overall company so all the franchisees take it? Or is this a hunting license where you need to go sell individually to the franchisees?
Brandon Farber: Nope. It is company-wide, corporate, and all franchisees.
George Sutton: Super. Thank you. And you know the sandwich name, or we can see it?
Operator: Our next question comes from Josh Baer from Morgan Stanley. Please go ahead. Your line is open.
Josh Baer: Great. Thanks for the question. Brandon, you just mentioned not being fully pleased with 2025, but some of those same assumptions around that execution are embedded in 2026. Could you unpack that a little bit more? What exactly are you assuming in the 2026 guidance with regard to converting that pipeline, contribution from new customers, expansion from existing customers? If you could talk about the assumptions embedded in that guidance a little bit more?
Alessio Artuffo: I think it is Alessio speaking. Our fundamental point of view is grounded on the observation of the work that our teams have been doing over the past few quarters and the leading indicators that are resulting out of that work. If you recall, a couple of quarters ago, we instituted a new leadership team in the go-to-market team. After Kyle Lacy joining Docebo Inc. as CMO, subsequently, a new CRO was appointed in Mark Kosoglow, and we have effectively reshaped our GTM motion as a result of these leaders coming in. In this new GTM, it brought improvements across the board. I would say that we have focused on a number of different areas where we thought we could do better: process reengineering, people optimization, and, notably, a deliberate strategy to focus on qualitative demand as opposed to quantitative demand. What that means is we have taken steps to be deliberate in the leads that we believe are most suited to win, that belong to our category, and have implemented processes to pass on to certified partners very small business leads that are not necessarily any more in line with the strategy of Docebo Inc. We are a mid-enterprise to strategic enterprise company, and we need to focus there. That exercise is paying off. We are seeing that in the leading indicators about enterprise pipeline. We are seeing that in the execution in the field. The comments from Brandon are the result of that observation. We have data, and that informs our belief that the enterprise segment and government will be catalysts for our reacceleration.
Josh Baer: Okay. Thank you, Alessio. Just to follow up there with some of the refocused go-to-market, looking at the ACV for new customers, which was down, is there anything to read into that? Is that a result of the reshaped go-to-market? Or, obviously, just one quarter of that new customer metric can move around a lot. How should we think about that?
Brandon Farber: It is really our mid-market team firing on all cylinders. When you look at that metric, it is heavily skewed by the number of customers you sign during a given quarter. Enterprise wins tend to be one unit at a high value; mid-market tends to be many units at a lower value. So the mix overall tends to skew it from quarter to quarter. Generally, we were actually quite pleased with all our segments in Q4. As mentioned in our prepared remarks, it was the strongest gross bookings we have had since 2021. The business performed. As everyone knows, we had some structural headwinds that masked the top-line ARR growth with the wind-down of Dayforce and the loss of AWS coming in effect in Q4. It is just really a matter of go-to-market performing really well in Q4.
Operator: Our next question comes from Erin Kyle from CIBC. Please go ahead. Your line is open.
Erin Kyle: Hi. Good morning, and thanks for taking the questions. I wanted to ask and dig into the net dollar retention for 2025, down year over year to 99%. I expect a lot of that was largely due to AWS. Can you unpack that number a bit for us?
Brandon Farber: You are exactly correct. Excluding AWS, we actually would have been up 1% year over year, so we would have been at 101%. There are a lot of good trends within NRR. We saw sequential three-quarter improvements in net retention, excluding AWS, from Q2 to Q3 to Q4. When we look at 2026, from a retention perspective, we forecast four quarters out. Again, we are seeing strong trends in Q2, Q3, Q4 into 2026 as well. One thing is when we look at Q4, even with record gross bookings, we have talked about how typically our mix of gross bookings is 65% new logo, 35% expansion. In Q4 it was 60% new logo, 40% expansion. Our expansion delivered in Q4. Our ideal mix is 60/40 or even 45/55. As we all know, expansion is much more efficient from a cost perspective. Acquiring new logos is very expensive. We are really focused on the expansion perspective. 365 Talents really helps us accelerate that. We are focused on improving that NRR in 2026.
Erin Kyle: Brandon, that is a lot of helpful color there. Maybe one more for you, or Alessio, if you can give us an update on the AI credit pricing model that you talked about last quarter. Is consumption pricing something you have been looking at moving towards more broadly? Or how should we think about that?
Mike McCarthy: Hi, Erin.
Alessio Artuffo: Yes, it is Alessio. One of my favorite topics. Let us go. AI credit pricing and, more broadly speaking, the topic of monetization are hot topics in the industry right now. We have spent a considerable amount of time lately thinking through this deeply. I will share my thoughts, including credits, but they need to be taken in the context, more broadly, of the overall AI monetization strategy that is becoming a very pervasive narrative these days. First, let me start head-on. We are testing AI credits at Docebo Inc. We have maybe a month and a half worth of data, so it is early days. The results of that work have been a mixed bag, frankly. In some instances, customers, particularly technology-first customers, are receptive to the idea. In other instances, and frankly more, there has been pushback—pushback that is CFO/CIO-led—resulting from their desire for predictability and discomfort with non-strict controls and forecastability. That is where we stand with credits. If that is okay with you, I would like to broaden that question to our point of view on the narrative on pricing because the argument that I am hearing a lot of people bring up is, “In this new AI-first era, per-seat pricing is the legacy model.” That is the general sound of it. We went and dug deep. We looked at over 30 companies. We analyzed AI-native LLMs, etc. What we found out has been really interesting. The number one pattern has been the majority of the companies across AI-native companies are using what we would call a hybrid model, which is what Docebo Inc. has today: a mix of per-seat pricing combined with credit pricing. The second finding was that a lot of AI-native companies actually do not have any concept of credit pricing or outcome pricing; they are per-seat only. We have been analyzing the why, and that is really simple. Customers will not buy it, and their use case and their industry do not lend themselves to a full outcome or a full credit-based model. I am really passionate about this topic. We are going to continue exploring new avenues. I do believe there is room for innovation on the pricing side in AI. I have learned over the past 20 years that the best pricing model is the one that meets the needs of the company with the business process of your customers. What we are not going to do—on the trend basis that everybody wants credits to be the same—is to shove a pricing model down customers' throats. Rather, we would work with customers to understand how their buying trends are, and we listen to the field. We do a lot of audience insights in our customers' calls. Great topic. More to come. We will report back on our findings as we continue to explore credits.
Erin Kyle: Thanks, Alessio. That is a lot of helpful detail there. I will pass the line. Thank you.
Brandon Farber: Thank you, Erin.
Operator: Our next question comes from Robert Young from Genuity. Please go ahead. Your line is open.
Robert Young: Hi, good morning. First question for me will be on the force reduction that is after the quarter. It seems both optimization and R&D, but I am trying to get a better idea of what the drivers are there—if that is just duplication after the acquisition of 365 Talents, or if it is a more permanent reduction. Are you preparing for a shift towards hiring up in AI? Maybe if you could talk about what that implies on the strong EBITDA margins you reported this quarter. Should we expect that to continue to grow higher on the back of this force reduction?
Alessio Artuffo: Rob, good morning.
Robert Young: Good morning.
Alessio Artuffo: Our restructuring followed a few specific criteria. First, the most important fundamental is we continue to use performance as a strong mechanism to grade ourselves against our own expectations and against our shareholders' expectations. Our job is to continue to have the best people in season to deliver against those expectations. That is an evergreen rationale that applies here. Second, a more targeted action was taken to accelerate something that is not new, which is moving our product capabilities closer to our customers. As you very well know, over 70% of our customers are in North America, and very few people in product are in North America. That distance, that has accumulated between our customers and our product culture, is one that we believe needs to be remediated and addressed, and so we have taken steps to address that. We have chosen to collocate these teams in hubs like Toronto. Just to be absolutely clear, that does not mean that we are exiting or developing a decreased presence elsewhere; that remains foundational to our products. It does not mean that there is any action that has to do, as a derivative, with the March acquisition. We simply want to give our customers the confidence that we have a product team and organization that is also closer to them. As a result of that, we are not pausing anything to rebuild. We are accelerating. We have retained our core architectural leaders to ensure continuity. This transition will not delay—if nothing, will accelerate—our agentic roadmap. In general, as we tap into new markets and as we have the ability to hire people in new territories, we are also excited about the opportunity to improve our hiring profile and continue to augment the skills of the people at Docebo Inc. I think Brandon wants to add something on the EBITDA question.
Brandon Farber: Hey, Rob. On the EBITDA side, as Alessio mentioned, the main goal of the reduction was not for cost-savings. Although we are expanding EBITDA margins, the main reason for that is discipline throughout the business while we grow it. When you look at the guide relative to how we performed on EBITDA in 2025, it is about 2% EBITDA leverage year over year. When I think about that at a really high level, there is going to be 1% leverage gained in G&A year over year. That is just continued discipline that we have talked about for years within G&A. Then roughly half a percent of leverage in sales and marketing and R&D, where we continue to focus on sales efficiencies and gaining leverage in R&D as we continue to use various tools that allow us to become more efficient.
Robert Young: Okay. Thanks for all that. Second question, adding on to a previous question around the QSR and the casual dining traction. You have had a lot of traction in that space over the last five-plus years. Can you talk about how much opportunity is left and what the competitive dynamic looks within that specific end market? It seems to be driving a lot of new customer growth over the last couple of years. And, if I can, quick question. In the gross bookings metric you gave, the 12.5% growth, does that include Dayforce and AWS, or is that just Dayforce? And then—
Brandon Farber: Alessio, I will let you answer the question. Sorry about that.
Alessio Artuffo: I will start with the QSR part of the question, and then I will pass on to Brandon the gross ARR question. You are right. QSR is a relevant market for us, one in which we have continued to win landmark logos. That is really the result of a couple of things: a focused sales strategy and a better defined targeting of the accounts that have a higher likelihood to convert with Docebo Inc., and a deliberate product strategy that addresses some of the peculiar needs that this industry has. Some of those include the way they report the data. Others include the way they organize their personnel across franchisees and corporate offices, and that requires rather complex ways of mapping users across the geos, entities, and so on and so forth. By the way, let me use this example to reference back to the defensibility of a true enterprise-grade system. This stuff is really complex. It is multilayered. It takes years to build. Back to QSR, we believe the opportunity ahead of us is pretty significant. We have in-roadmap capabilities that further make us even more compelling. The QSR space requires a deep usage of adaptive and mobile technology. We are thinking and rethinking our mobile strategy in that regard to have more frontline workers technology readiness available. As part of that offering, let me finish by saying there is a module of Docebo Inc. called AI Virtual Coaching that is, still, rather early days but has the potential to become an absolute killer in use cases for front-end workers and QSR-like. We are very excited about it. We are investing in it. We are going to put more resources and more effort into it to accelerate its development. We believe the QSR opportunity is significant for us.
Brandon Farber: Rob, if we think about the top 10 QSRs, we have about four of them as customers. There are still the top four largest QSRs that we do not have. There is still a large market opportunity for us to continue to gain. On your question on gross bookings, the 12.5%, that is actually just our total ARR, so it includes gross and churn. That includes AWS. If you are looking for a metric of our growth excluding both Dayforce and AWS, that was closer to 14.5%.
Robert Young: Thanks a lot.
Operator: Our next question comes from Richard Tse from National Bank Capital Markets. Please go ahead. Your line is open.
Richard Tse: Yes. Thank you. With respect to the environment in general, has this AI narrative impacted your sales cycles at all? Is there a swell building as your prospective customers evaluate what they want to do? The environment is changing so quickly. I wanted to get your perspective on that.
Alessio Artuffo: Richard, we really monitor our demand in multiple ways. If the question is, are you seeing headwind relative to this AI-first narrative, the answer is no. As far as our sales cycle and our velocity of execution, one of the metrics that I am keeping an eye on in that area is exactly how long it takes us in different segments to get a deal done—from qualification to close. The recent data is incredibly encouraging. We have shaved off weeks of sales execution, particularly in our mid-market and mid-enterprise space. When you do that, what it effectively means is you are almost gaining a month of selling action in the year. That has been very significant, and we are taking steps to improve that even further.
Richard Tse: Okay. Thanks. With respect to capital allocation, with you continuing on the SIB, there is a high degree of conviction. Post that SIB concluding, if the stock does not move higher off the back of that, how are you thinking about capital allocation? Would you consider additional buyback programs? Or are you evaluating acquisitions? Ultimately, what is your comfort on leverage ratio here?
Brandon Farber: It is a great question. On the acquisition front, doing an acquisition the size of 365 Talents in 2026 is unlikely. We have a lot of things to focus on for 2026. We want to focus on execution and reaccelerate Docebo Inc. organically, and really perform and execute on our acquisition of 365 Talents. From a buyback perspective, if our shares continue to trade at depressed valuations, we will continue to buy back shares under the SIB, even after the SIB. From a net leverage ratio, when we think about net cash to EBITDA, we certainly get very uncomfortable above 3. Under 3, we are more comfortable. So that is our line in the sand.
Richard Tse: Okay. Thank you.
Operator: Our next question comes from Ken Wong from Oppenheimer. Please go ahead. Your line is open.
Alessio Artuffo: Fantastic.
Ken Wong: Alessio, I wanted to touch on 365 Talents. This is the largest M&A at the company. M&A is not exactly a competency or a muscle that you guys have. What is your comfort in your ability to absorb such an acquisition? Any appetite for additional M&A beyond this?
Alessio Artuffo: I would say a number of things on this. The discipline of skills intelligence is actually very adjacent relative to the learning space. There are obvious overlaps between the two. You are absolutely right in saying that the use cases and, in some instances, the persona buyer can vary. That is why we have taken a deliberate stance of maintaining, for a period of time, the 365 Talents entity and brand active as we implement both the integration from a product capability standpoint—that is priority number one—and, in parallel, we integrate the commercial motions. The enablement that is necessary to blend the organizations is ongoing and will take time. In the meantime, we have structured our organization at Docebo Inc. with resources that are going to be experts and are going to live within the 365 Talents world to become the translators of the value of 365 Talents in our market. The other thing that I would say about this acquisition is, as Brandon briefly mentioned earlier, that I think is really important: as we have this incredible base of over 3,500 customers active, one of the objectives was also to have an opportunity to differentiate and have another entry point other than LMS in these organizations that may already have an LMS in place. Dismantling an LMS setup from a large enterprise can be years' worth of work. Our opportunity here, with effectively our first true second product, is to knock at the door of organizations and offer a value that integrates with their existing LMS. As we enter that secondary door, we can then consolidate that account under a unified strategy. You can appreciate how the adjacency of the capabilities and the integration strategy—from a product and commercial standpoint—lends itself to what will be a very successful second-product story that will have an impact on our NDRR in the future.
Ken Wong: Fantastic. Really appreciate the look into the strategic rationale. Brandon, maybe building on that. As we think about the fiscal 2026 guidance, any change in your philosophy here as you have to think through some of the moving pieces that go along with March? The ability to integrate, obviously operating two teams in parallel—how should we think about what prudence was baked in?
Brandon Farber: From a March perspective, I would say we did not take a conservative approach. We had a very tight business case. We are factoring in high growth from that business, and we are expecting to execute on that. When we think about the different aspects of revenue, talking about Dayforce, it is going to be down to roughly 3% to 4% of our total revenues. We publicly disclosed that we will generate roughly $9,000,000 pro rata from 365 Talents. We continue to put no deals greater than $1 million ARR within our guide. We do have a number of those in our pipeline, but it has been over 12 months since we have closed one, so we feel like the prudent aspect is to exclude that from our guide. Just as I mentioned, government—while it is in our guide—it is only there for three months, given the seasonality of the Fed spend geared towards September 30. Those are the main aspects that I think of from a revenue perspective.
Ken Wong: Got it. And then just a quick follow-up. Any top-line or bottom-line synergies between the two orgs that are factored in?
Brandon Farber: Bottom line, no. Top-line synergies are really just what we talked about: going back to the Docebo Inc. base and selling 365 Talents to our current customer base.
Ken Wong: Okay. Fantastic. Thanks a lot, guys.
Operator: Our next question comes from Matt Van Vliet from Cantor Fitzgerald. Please go ahead. Your line is open.
Matt Van Vliet: Yes. Good morning. Thanks for taking my question. Now that you have the go-to-market team reorganized like you wanted, but with the addition of the federal opportunity maybe being a little bit more wholesome than it was before, where do you feel like you are at in terms of sales headcount? What is the plan baked into the guide for 2026? Longer term, how do you think about headcount additions correlating with top-line growth? Or can you decouple those a little bit using AI tooling and other efficiency mechanisms?
Brandon Farber: From a sales headcount perspective, on the government side, we invested in 2025 to get additional quota carriers in seats. We feel like, at the start of 2026, we are well set up from a quota perspective. The focus is to win more business with the same amount of headcount. We are really focused on sales productivity and sales efficiencies, using tools to improve those efficiencies. In 2025, I think we ended the year on a good note from a sales efficiency perspective. We started the year fairly inefficient in 2025. We are continuing to focus on it. We really look at our pipeline to indicate when we need to add quota carriers. While we have a budget, we do not stick to it. We do not hire just to hire. We hire based on pipeline, and we will continue to look at that on a quarterly basis.
Matt Van Vliet: Very helpful. On the other side of the AI question, how much demand—or maybe even deals closing—are you finding as customers want to have a more complete platform to train their employees on the usage of those LLMs, how to get value out of them, how to protect the organization's data from not including overly proprietary things in prompts? Is it driving a fair amount of top-of-funnel demand and potentially even deal closing?
Alessio Artuffo: I would say among the trends in the audience insights that we have, AI readiness is one of those trends. Specific companies in the tech sector are more concerned with advancing their people's AI capabilities. Conversely, what we are finding is that sectors that are more institutional—like manufacturing, healthcare, and data-sensitive—are, in an anticyclical way, asking us to put in place measures for AI to be deeply controlled, enabled, disabled, toggled off. Those controls capabilities have become an absolute must requirement. We are seeing evidence of that, unsurprisingly, in the government space. It is a very interesting phase in which you have the ones that are on the offense side and want to use our technology to get smarter about AI, and the ones that are on the defense side and are still skeptical of the downsides of AI, asking us for observability, controls, and compliance. We are playing on both fronts.
Matt Van Vliet: Alright. Great. Thank you.
Alessio Artuffo: Thank you.
Operator: Our next question comes from Suthan Sukumar from Stifel. Please go ahead. Your line is open.
Suthan Sukumar: Good morning, gents. For my first question, I wanted to touch on the competitive landscape. Aside from Workday buying Sana, I am not sure I am seeing any major moves in the industry. More broadly, how are you seeing competitors respond to AI and executing on this opportunity?
Alessio Artuffo: I would say this. First, I will tell you where I stand philosophically on the topic of competition. While we get educated, I like to say to the team we are incredibly self-centric and self-focused. I do not want this company to chase the others. I want us to lead the pack, innovate, and be very focused on ourselves. That is the philosophy I take on competition. When I get education from the team about what they hear about the competitive landscape, I think your reflections are correct. There is not a high degree of innovation happening. Fortunately for us, companies in our state historically have taken more prudent approaches to R&D. I would say the biggest trend that we are seeing, that I am having evidence of, is what I would call AI by marketing. AI by marketing is the art of calling everything “agents” even when they are not. What I see is a bunch of pretty simple copilots defined as revolutionary agents, when they are not. An agent is an agent by definition; it should be studied what that definition is. An agent takes decisions. An agent solves complex business problems. We understand the difference between a copilot and an agent because we are building both. I would say the market is frothy. There is not a ton of real, disrupting value. I would say Sana acquired by Workday was that one startup that had an edge in that area. Certainly, it becomes challenging for a company like that to go at the same speed and pace within a machinery like Workday. None of my business. All I know is that when we go in the market and we introduce AI capabilities, we stand out big time. That is what we are keeping on doing.
Suthan Sukumar: Great. For my second question, from more of a bookings and pipeline perspective, can you speak about how contribution has been trending in your pipeline from your SI partners, like Deloitte and Accenture? Any color on how deal sizes and deal scope have been evolving when partners like these are involved?
Alessio Artuffo: Yes. Straight to your question, nearly 80% of our enterprise pipeline now has a system integrator attached to it. We work with a number of system integrators from the Deloittes and Accentures of the world to smaller, medium-sized system integrators that are either regional or leaders in their respective market. That work that has happened over the years is certainly paying off. Specific to system integrators, things that I can share: we recently announced that with Deloitte, we have completed a process to enable Deloitte plus Docebo Inc. to become a product that you can purchase through the Amazon AWS Marketplace. That means Deloitte customers that want to implement a learning platform can buy Docebo Inc. in partnership with Deloitte using their AWS credits, which is a very favorable vehicle of purchasing, especially for large enterprises that often have credits to be managed and spent on the AWS side. Everybody wins because Deloitte wins, AWS wins, and, ultimately, Docebo Inc. benefits from what is a very CAC-accretive type of sale. Additionally, we are working with Deloitte and other system integrators on their own academies. What we are finding is that these system integrators are implementing academies using Docebo Inc., which means they power their own customer academy using Docebo Inc. This is becoming a catalyst for very large organizations that are approaching the system integrators. Notably, it is happening with major airlines and major transportation groups that are going to the system integrators and saying, “I would really love to implement your academy.” When they scope out what they really want, this becomes less of a broad academy play and more of a direct deal with the system integrator. It also acts like a lead-gen opportunity for us. The work that our team is doing on system integrators is very good. There is more to be done, and there are more integrators that we are talking to that we plan to sign over the next few quarters. I am pretty excited about it.
Suthan Sukumar: Okay. Great. Thank you for the color. I will pass the line.
Operator: Our next question comes from Gavin Fairweather from ATB Capital Markets. Please go ahead. Your line is open.
Gavin Fairweather: Just on 365 Talents. I am sure you had a base deal or a base understanding about upsell and bundled deals when you did that acquisition. I am curious what market feedback you are getting from clients and prospects and how that is making you feel about the opportunity vis-à-vis your original expectations.
Alessio Artuffo: Gavin, relatively early days—we are a month plus in—and I can tell you that we had certain phases of the amount of opportunities that we would generate of companies that want to look at 365 Talents. I recently posted a webinar with Loïc, the CEO of 365 Talents, and close to 1,000 people registered for the webinar. A number showed up, and a big percentage of the people after the webinar asked for a demonstration and declared in the webinar that they were looking for a solution or looking to improve their current solution. The pervasive feedback that we are getting across all calls is that companies do have a skills strategy, but it is fragmented from a system standpoint—meaning, they may have a skills module in their HRIS or HCM system, but it is not connected to the learning execution strategy in the way that we plan to do it. When we tell them a story of this automated cycle across the skill gap—the skilled engine, their workforce planning strategy, their career development, the internal mobility use case—with learning attached to it in a seamless way, we demo that to them, their reaction is incredibly positive. We are a month in. Our integration is still relatively simple, all things considered. Imagine what will happen when we execute on our real vision over the next two to three phases of integration, which will occur within the next 12 months. All of that to say the leading indicators are incredibly positive. I would also say the other thing that excites me the most is it is clear we have an enterprise-first strategy. Complex organizations get the best out of the 1,000 employees and above, which we have set for this product. We are bang on in terms of the pain that is felt from the type of customers that we want. That is product market fit, and now we just need to execute.
Operator: Our next question comes from John Chao from TD Cowen. Please go ahead. Your line is open.
John Chao: Good morning. Thanks for taking my questions. You mentioned Docebo Inc. has the data moat. Could you break down that data moat to help us understand what data belongs to you versus your customers?
Alessio Artuffo: I would say, most simple, compliance-related forms. Then you have data relative to external use cases. You have years of use of the Docebo Inc. platform to prove that, by enabling your customers and/or your partners to do the work that they need to do, or to buy more by educating them, they indeed deliver better experiences if they are partners, or they buy more, or they stick around longer if they are customers. That data is invaluable to any marketing organization, to any revenue organization. On top of all of this, we are adding the data moat of skills. Now we are talking millions of records, as very large companies have knowledge that an individual went from a certain skill set to a new skill set over different levels over the course of years. That data, again, is not available to third-party sources. The reason why all of that data is incredibly important is that, in order to operate automation and decision-making on top of it in the form of agents, agents are not ET aliens. They are fundamentally workflow executors. They execute workflows on clean, well-organized, structured datasets. Whether the agent lives in your LLM and is called via an MCP server, or the agent is a hyper-specialized agent that Docebo Inc. has the knowledge to create and solve the very specific problems in the LMS world, it does not matter. They can live in a number of different places. What they need in order to provide an outcome is the data that resides in our systems. I hope that helps.
John Chao: Got it. Thank you. My second question is in terms of the customer spending. I understand that ACV is around $60,000 to $70,000. How does that number compare to your customer's corporate learning budget? Is it around 10%, or is it a much higher number? I am asking this because one of the key arguments for AI disruption is cost savings.
Mike McCarthy: It is a very interesting question, but the learning tech stack is much wider than you would expect. Every company has, from HRIS systems to LMS to skills—the tech stack is wide. If you look at a graph of the number of SaaS companies that are in the L&D or CHRO tech stack, it is wide. LMS is not the biggest one. Obviously, HRIS is by far in the lead, and it is materially higher than the cost of an LMS. That is the reality. The average ACV of $60,000 to $70,000—that is really Docebo Inc. continuing to move up and upmarket. We really look at an enterprise ticket now at roughly $250,000. While there is competition in the enterprise space, Docebo Inc. is typically very competitively priced, maybe on the top end, but compared to our competitors, we are within the range. We continue to see enterprise willingness to spend that money. There has been no pushback on price—on renewals, on new prospects. Pricing is holding strong, and companies see the value in an LMS.
John Chao: Thank you so much. That is all.
Operator: Our last question will come from Kevin Krishnaratne from Scotiabank. Please go ahead. Your line is open.
Kevin Krishnaratne: Hey there. Thanks for fitting me in. Just one question, maybe two parts, for Brandon. Brandon, you talked about in the prepared remarks reaccelerating organic growth. I think you did 9.5% subscription growth in Q4. Maybe you can help us on what the organic growth expectation is for Q1 after 365 Talents. It is coming down a little bit, but do you expect that to stabilize and grow in Q2? Or is there anything that we should be thinking about in Q2—whether that is anything from Dayforce churn or any renewals coming up in Q2 that we need to consider? I am wondering how we think about the organic growth trajectory here.
Brandon Farber: The reacceleration organic we are modeling Q3, Q4 onwards. There are a number of factors. Number one, you look at Q1 and Q2—our enterprise performance was below expectations. As we lapse some of the quarters that had material impact due to Dayforce wind-down, which was Q3 and Q4, and as we lap AWS, our ability to reaccelerate growth becomes greater and greater. In our internal models, that acceleration starts in Q3 and continues in Q4.
Kevin Krishnaratne: That is super helpful. Then last piece—you talked about strength in mid-market. Enterprise is going to be a driver. Can you talk about the SMB or the low end of your base and how much of that is in your ARR? Is there anything to think of there in terms of pressures or churn at those types of companies that are more on the low end of the customer profile?
Brandon Farber: ARR below $50,000, which is generally the benchmark we consider commercial or SMB, is down to about 16% of our ARR. At the same time, it is interesting to note that our gross retention in that area actually improved year over year. We were always in the mid-80s, and we actually saw a sequential improvement in the commercial segment. It is an area that we have restructured how we manage it from an account management perspective. We have put a bit more focus, a bit more investment, and we are seeing that investment pay off. That is more from an account management perspective. As Alessio mentioned, from a new leads perspective, we have new benchmarks—some go to partners, some go to us. That existing customer base below $50,000 is actually a much healthier customer base than it has been in prior years.
Operator: We have no further questions. I would like to turn the call over to Alessio Artuffo for closing remarks.
Alessio Artuffo: Thank you, everyone, for being on the Q4 2025 earnings call. We are very excited about the trajectory of Docebo Inc. A milestone ahead of us is called Docebo Inspire in April in sunny Miami, and we look forward to seeing you there. Thank you.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.